Company Representatives: Andrew O’Brien - President, Chief Executive Officer Julie Baron - Chief Financial Officer Garrett Edson - ICR
Operator: Greetings! And welcome to Trean Insurance Group Inc.’s First Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded.  I would now like to turn this conference over to your host, Mr. Garrett Edson of ICR. Thank you, sir. You may begin. 
Garrett Edson: Thank you, operator. Good afternoon and welcome to Trean Insurance Group's first quarter 2021 earnings call. This afternoon the company released its financial results for the quarter ended March 31, 2021. The press release is available in the Investor Relations section of the company's website at www.trean.com. I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements.  I refer you to the company's filings made with the SEC for a more detailed discussion of the risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The company undertakes no duty to update any forward-looking statements that may be made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. Our presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at www.sec.gov.  Joining me on the call today are Andrew O’Brien, the company's President and Chief Executive Officer; and Julie Baron, the company's Chief Financial Officer. With that, I am now going to turn the call over to Andy.
Andrew O’Brien: Thank you, Garrett, and welcome to our first quarter 2021 earnings call. We appreciate your participation on our call and for your continued interest in Trean.  On today's call I will walk through our higher level results and update you on the great progress we're making with respect to our overall strategy. Julie will follow and provide some detail about our first quarter results, and then we'll open it up to Q&A.  Our first quarter was a great follow-through to where we left off at the end of 2020. We generated excellent year-over-year premium growth in the first quarter in all facets; gross written, gross earned and net earned premium, and continued to deliver on the solid underwriting. As a result, we remain well positioned to grow rapidly and profitably as we move through the balance of the year.  During the first quarter we grew gross written premiums by 36% year-over-year to a record $146.7 million, another excellent performance generated through multiple sources, including our new program partners and organic growth. Our net earned premium increased to 83% to $41.1 million compared to $22.5 million in the first quarter of 2020.  Our loss ratio fell within our recent historical first quarter range of between 57% to 61%, and we improved our combined ratio on a year-over-year basis, and we generated adjusted net income after excluding non-recurring other expenses and significant non-cash items of $8 million or $0.16 per diluted share, producing adjusted ROTE of 16.4%.  Along with our solid first quarter results, we continue to make very strong progress in terms of rapidly expanding the market share of our non-workers comp program. In the first quarter our non-workers comp liability lines grew gross written premiums by 157% year-over-year, representing over 32% of our total gross written premiums for the first quarter.  Worker's comp continues to form the majority of our premiums and we saw another quarter of double-digit growth in gross written premiums in that line of business. Beyond that, we are successfully executing and diversifying our business and further reducing our overall concentration risk.  In addition to our 36% growth in gross written premiums, I also wanted to highlight that we generated additional gross unearned premiums of $18 million in the first quarter of 2021. As of March 31, 2021 we had net unearned premiums reflected on our balance sheet of $66.2 million, an increase of $16.1 million compared to December 31, 2020.  Assuming our loss ratios and other operating expenses remain stable, this significant net unearned premium represents the third future profit to be recognized over subsequent quarters as these net premiums are earned. We are very pleased with this kind of growth. We also continue to retain more premiums in our books, which allowed us to drive our retention above 32% this past quarter.  As we noted in our prior call, we have also started to accelerate our investments in automation, technology, workforce additions and other areas in order to support our program partners and further provide a superior competitive and value proposition to existing and prospective customers. For instance, we are currently planning the implementation of a new claim system, which should optimize our processes and further ensure timely handling of claims.  In addition, our automation initiatives will benefit us by streamlining and improving systems and processes throughout the company to ultimately create long lasting and meaningful expense savings. Our G&A dollars will remain elevated at 2021 as a result of these investments. They ensure that we will be able to expand our market share and generate sustainable and profitable growth in the years to come.  Looking into the balance of 2021, our powerful business model continues to be validated and our overall strategy and ability to successfully execute remains unchanged. We will continue pursuing organic growth within our existing markets to further increase our gross written premiums. We will retain more quality net earned premium, which should further enhance our bottom line moving forward, and we will selectively and responsibly add new program partners, in particular those net targets spec niche programs with a clear competitive edge.  Our entire team's constant hard work and dedication continues to pay off. We appreciate all of their efforts and remain very excited for our future. With that, I'll now turn the call over to Julie. 
Julie Barron : Thank you Andy and good afternoon to everyone on the call. Let's go right into our first quarter results.  In the first quarter our team group gross written premiums by 36%, a record $146.7 million compared to $107.9 million in the prior year period. This growth was driven by the addition of nine new programs partnered during 2020, as well as organic growth in our existing program partner business, resulting in an increase in both workers compensation and non-workers compensation liability lines of business.  We remain strongly positioned for continued gross written premiums throughout 2021. Gross earned premiums were $128.3 million for the first quarter of 2021, up 28% compared to the prior year period, due primarily to the increase in gross written premium and partially offset by the rise in gross earned premiums due to the addition of our new program partnered. These premiums were largely unearned as of the end of the first quarter.  As a reminder, since we cannot control the timing of effective date of new policies, this lag effect is fairly a common occurrence when we onboard new program partners. Thus we continue to recommend that the focus beyond gross written premiums is the best proxy for the growth of our business.  Net earned premiums for the quarter was $41.1 million, an increase of 83.2% compared to $22.5 million in the prior year period, primarily due to the growth in gross earned premiums more than offsetting a smaller increase in ceded earned premiums.  We know that the gross unearned premiums we recorded in the first quarter of 2021 is more indicative of what we would expect to see for this line item as we continue to grow. As Andy mentioned, this is a strong positive for our business, as it means that we are growing more rapidly than we previously anticipated, and those unearned premiums will eventually convert into earned premiums in time.  We remain confident in our ability to onboard additional program partners to sustainably grow our gross written premiums over the longer term. Our loss ratio for the first quarter of 2021 is 60.5% compared to 57.6% in the prior year period. The increase in the loss ratios during the first quarter of 2021 versus the prior year period was primarily attributable to property losses incurred in the first quarter.  Our expense ratio for the first quarter of 2021 was 28.9%, an improvement of 740 basis points from the prior year quarter, primarily due to the significant increase at net earned premium.  G&A expense was $11.9 in the first quarter of 2021, compared to $8.1 million in the prior year quarter. The increase is primarily due to higher salaries and benefits resulting from acquisitions made in 2020, coupled with an expanded workforce, an increase in rent an office related expenses, insurance and insurance related expenses and professional service expenses.  As Andy mentioned and we discussed previously, we are going to continue to invest in the business. As a result, we expect G&A expenses will continue to remain elevated in 2021 compared to prior year periods.  All-in, our combined ratio for the first quarter of 2021 was 89.4%, a 450 basis point improvement compared to 93.9% in the prior year period. Underwriting income for the first quarter was $4.4 million, a 217% increase compared to $1.4 million in the prior year period.  Net investment income for the first quarter of 2021 was $1.6 million compared to $3.3 million in the prior year period. The prior year period included a one-time $2 million unrealized gain related to the common factor classification and fair value re-measurement for one of our investments.  The majority of our investment portfolio was comprised of fixed maturity securities of $378.1 million at March 31, 2021, classified as available for sale. We also had $130.9 million of cash and cash equivalents. Our investment portfolio had an average rating of AA at the end of the quarter.  Other revenue which consists primarily of third party administrator and brokerage fees was $4.7 million for the quarter, driven by an increase in fee-based revenues related to our Compstar acquisition in July 2020 and in management fees, partially offset by reduced brokerage revenues, which can vary significantly from quarter-to-quarter based on the effective date of the underlying reinsurance contract.  Net income for the first quarter of 2021 was $6.8 million or $0.13 diluted earnings per share. When excluding intangible asset amortization, non-cash stock compensation and non-recurring other expenses, adjusted net income for the first quarter of 2021 was $8 million compared to $6.3 million in the prior year period. Adjusted diluted earnings per share for the first quarter of 2021 was $0.16.  Return on equity for the first quarter was 6.6%, while adjusted ROE was 7.8%. Adjusted return on tangible equity, which is computed as annualized adjusted net income over average tangible equity was 16.4%. We had a strong start to 2021 and remain well positioned for strong responsible growth for the remainder of the year and over the long term.  With that, I thank you for your time and will now open up the call for Q&A. Operator.
Operator: [Operator Instructions] Our first question comes from the line of Jimmy Bhullar with JP Morgan. You may proceed with your question.
Jimmy Bhullar: Hi! I had a couple of questions. First, just if you could quantify what your property losses were in 1Q and what they were in the year ago period, so people get a better sense of your loss ratio, ex sort of catastrophe out of the event [ph]. And then relatedly if you could give us or if you could quantify any impact you had on your loss ratio from prior year development. 
A - Andrew O’Brien: Jimmy, this is Andy O'Brien. Thank you for your questions and thanks for your participation. The property losses, we did have some property losses coming out of the Texas ice-storm, and then we had a couple of large building losses in Michigan. All of these losses were heavily reinsured and together did not have a terribly material impact, but they did up our loss ratio a little bit. We had no negative adverse development during the first quarter from prior years. 
Jimmy Bhullar: Any positive development, because you've had that consistently over time or was there no development period.
A - Andrew O’Brien: We did not recognize any development dollar in the first quarter.
Julie Baron: Yeah, it is very minor, about $26,000 if I recall. 
Jimmy Bhullar: You got it. And then if you could just talk about pricing and workers comp and I think obviously your more of up there in the specific niche of the market, but a lot of companies have been hopeful that prices would start stabilizing and potentially improving at some point, but are you seeing that in the market overall?
A - Andrew O’Brien: I think that the market has stabilized. You know it certainly varies by geographic area. I would say in the southeast and in parts of the west that the market has stabilized. We have in the last two or three months had some success in getting some positive rate movement in California, so we're happy about that. 
Jimmy Bhullar: Okay. And then just lastly on claims trends, how much of the risk do you feel there is of an uptick in claims given the strengthening labor market and just sort of, if you're seeing a tight supply of workers and if that could drive enough take on losses. 
A - Andrew O’Brien: Our insureds are not as impacted by some of the industries that are having trouble finding workers right now. So far we haven't seen any – we certainly haven't seen – we've seen expanded payrolls if anything and we haven't seen any concerns in the claims area due to worker shortage or to you know workers not being as trained as well as they should be. It's early though Jimmy. It’s just – that’s just such a new thing that it would be much too soon for us to see something in the claims area to comment beyond that. 
Jimmy Bhullar: Okay, thank you. 
Operator: Our next question comes from the line of Matthew Carletti with JMP Securities. You may proceed with your question.
Matthew Carletti: Hey! Thanks, good afternoon. Your first question is on the gross written premium, the 36% growth in the quarter. Can you help us unpack that a little bit and if you can give any color around how much ballpark of that growth might have been driven by some of the newer partner additions. I think Julie you mentioned the nine partners that are added during 2020 and how much of that growth might be kind of some more longer-standing relationships that have been there for a while?
Julie Baron: Sure. So our new programs represented about 60% of the total gross written premium in the first quarter of 2021. And then on our – our organic growth on our owned program was about 4.6%, and organic growth on our existing program partners into that 33%. 
Matthew Carletti: Got it, okay, great. Thank you, that's helpful. And then just a numbers question; when I look at you know the net to gross retention, its inching up as we’d expect given your selective, your retention of more risk. How should we view that 32 in the quarter? Is that you know a ballpark or level that we could stabilize that in the near term or should we expect that to continue to drift up as we move forward throughout the year. 
Julie Baron: You know Matt, that’s a little hard to say. You know it’s a mix of the business. If we have a little more growth on a program that we have a lower retention on one has a higher retention, I think that's probably not a bad place to start. 
Matthew Carletti: Great! Very helpful. Thanks for the color. 
Operator: [Operator Instructions] Our next question comes from a line of David Motemaden with Evercore ISI. You may proceed with your question. 
David Motemaden : Hi! Thanks, good afternoon. I had a question just on the expenses, the G&A expenses. I understand your sector was to remain elevated throughout the course – the rest of the course of the year. Should I take that to mean that we should expect them to come in at around that you know $12 million a quarter-ish type of level or maybe we could provide some commentary around that? 
A - Garrett Edson: It's a good run rate as of now. You know we’re – like Andy and Julie said, we're going to be investing and will temper that with any actual cash outlays for expenses. Some of that will be capitalized in the areas of software and development that we are starting to get involved with over the course of this year. But I think that's a good a good run rate for now to think about going forward until we start to see something different. 
David Motemaden : Got it! Thanks, that's helpful. And then Andy, I guess just sort of a higher level question. Just on the growth and the non-comp liability lines. You know obviously, the market's been hardening in some of those lines, but there's also a little bit of uncertainty there as well, so I'm wondering just sort of how you're thinking about growing in those lines. I'm assuming it's – you know I think a lot of its general liability, but maybe you can also give us a bit more detail on what specifically it is that's driving that growth. 
Andrew O’Brien: Sure, we have added a number of new programs outside of workers comp. In fact Matt, most of the programs that we've seen this past quarter have been outside of workers comp, which I think is a sign that, that market is tighter than the workers comp market.  We’ve added programs in property and commercial auto and accident/health. Those are the three lines that we've added, and we've done that, because the first programs have met our criteria. They've been excellent programs with operators with proven track records. Second, these are people who are really getting significant rate increases, which of course is a very positive.  Now our approach with these programs is the same as we’ve discussed previously, which is that we're taking a very low net retention at the outset. I think for all of our programs, particularly those – of all the programs that we’ve added over this past quarter and really the last year, we're only retaining something like 8% to 9% of the business that these partners are writing, and that's pursuant with our consumable approach towards assuming underwriting risk at the outset of the program. Should these programs continue to develop, well, I could see us making larger participations. 
David Motemaden : Got, that’s helpful, yes. And then I guess just because of the low retention, you know that helps you get comfort and then I guess we should relatedly – I guess it doesn't feel like there should be a big change in sort of the loss ratio just from a change in the mix of business shifting away from workers comp to some of these other lines, but wondering if maybe you can comment on that. 
Andrew O’Brien: Yes I can. Because our risk retention is so small in these other lines of business, it would be very difficult for them to have any kind of meaningful impact on our loss ratio. Now if that business continues to grow and continues to become a larger part of our growth, then certainly that statement would change. But as of right now, we are just anticipating that these are the lines that are going to materially impact our loss ratio. 
David Motemaden : Got it, that makes sense. Thank you. 
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Andy O’Brien for closing remarks. 
Andrew O’Brien : Thank you. We had a very good quarter. When we look at what our true north is, how do we evaluate, how we're performing, we look at two things; first our growth in gross written premium, and second is our loss ratio stability. If we hit on those two items, really everything else follows for our company and in this quarter we certainly hit on both of those. So we are very pleased by what happened this quarter and we are looking forward to continuing that through the remainder of the year. Thank you for your time and we look forward to any questions and we appreciate your support in the future. 
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your evening.